Operator: Good afternoon and welcome to the Alliance Data third quarter 2008 Earnings Call. At this time all parties have been placed on a listen-only mode. Following today's presentation, the floor will be open for your questions. (Operator Instructions). In order to view the company's presentation on their website please remember to turnoff the popup blocker on your computer. It is now my pleasure to introduce your host, Ms. Julie Prozeller of Financial Dynamics. Ma'am, the floor is yours.
Julie Prozeller: Thank you, operator. By now, you should have received the copy of the company's third quarter 2008 earnings release. If you haven't, please call Financial Dynamics at 212-850-5721. On the call today, we have Mike Parks, Chairman and Chief Executive Officer, and Ed Heffernan, Chief Financial Officer of Alliance Data. Also on today's call, our speakers will reference certain non-GAAP financial measures, which we believe will provide useful information for investors. A reconciliation of those measures to GAAP will be posted on the Investor Relations website at www.alliancedata.com. With that, I would like to turn the call over to Mike Parks. Mike?
Mike Parks: So let's turn to the third quarter highlight slide. I'm obviously pleased to announce, particularly in this environment, that we delivered our 30th consecutive quarter of meeting or in this case exceeding guidance. While no one likes where the economy is today, there are certain business models that I think will fare far better than others over the next 15 months and I'm very confident about ours. The highly emotional market and the dislocation of credit, i.e. LIBOR will have short-term impacts, but will also provide great opportunities for well-positioned companies, we plan to take full advantage. So with that, let's talk about the specifics. Revenue increased 4% to just over $511 million. Operating EBITDA, as you can see, also increased 4% to $185 million with adjusted EBITDA reaching a $170 million. Cash earnings per share was $1.22, 15% increase over the same period last year and $0.07 over our previous guidance. Before I move on, I want to talk a little bit about some special items during the quarter before we hit the unit details. First, in the third quarter we sold our Utility Services unit, netting about $50 million in cash. We also took some steps to significantly expand our liquidity; first, through the new $805 million convertible note offering at the corporate level. And also, earlier this month, we announced $1.4 billion in new credit facilities for our Private Label business. Lastly, we announced the stock repurchase program, which you're all aware of, I'm sure, spending approximately $420 million this quarter. Year-to-date we repurchased about 18% of our shares and a little over 100 -- $800 million in total spending, so far. Ed will get into some more details a little bit later on those items. So let's turn to the third quarter highlight slide. I'm obviously pleased to announce, particularly in this environment, that we delivered our 30th consecutive quarter of meeting or in this case exceeding guidance. While no one likes where the economy is today, there are certain business models that I think will fare far better than others over the next 15 months and I'm very confident about ours. The highly emotional market and the dislocation of credit, i.e. LIBOR will have short-term impacts, but will also provide great opportunities for well-positioned companies, we plan to take full advantage. So with that, let's talk about the specifics. Revenue increased 4% to just over $511 million. Operating EBITDA, as you can see, also increased 4% to $185 million with adjusted EBITDA reaching a $170 million. Cash earnings per share was $1.22, 15% increase over the same period last year and $0.07 over our previous guidance. Before I move on, I want to talk a little bit about some special items during the quarter before we hit the unit details. First, in the third quarter we sold our Utility Services unit, netting about $50 million in cash. We also took some steps to significantly expand our liquidity; first, through the new $805 million convertible note offering at the corporate level. And also, earlier this month, we announced $1.4 billion in new credit facilities for our Private Label business. Lastly, we announced the stock repurchase program, which you're all aware of, I'm sure, spending approximately $420 million this quarter. Year-to-date we repurchased about 18% of our shares and a little over 100 -- $800 million in total spending, so far. Ed will get into some more details a little bit later on those items. So let's turn to the third quarter highlight slide. I'm obviously pleased to announce, particularly in this environment, that we delivered our 30th consecutive quarter of meeting or in this case exceeding guidance. While no one likes where the economy is today, there are certain business models that I think will fare far better than others over the next 15 months and I'm very confident about ours. The highly emotional market and the dislocation of credit, i.e. LIBOR will have short-term impacts, but will also provide great opportunities for well-positioned companies, we plan to take full advantage. So with that, let's talk about the specifics. Revenue increased 4% to just over $511 million. Operating EBITDA, as you can see, also increased 4% to $185 million with adjusted EBITDA reaching a $170 million. Cash earnings per share was $1.22, 15% increase over the same period last year and $0.07 over our previous guidance. Before I move on, I want to talk a little bit about some special items during the quarter before we hit the unit details. First, in the third quarter we sold our Utility Services unit, netting about $50 million in cash. We also took some steps to significantly expand our liquidity; first, through the new $805 million convertible note offering at the corporate level. And also, earlier this month, we announced $1.4 billion in new credit facilities for our Private Label business. Lastly, we announced the stock repurchase program, which you're all aware of, I'm sure, spending approximately $420 million this quarter. Year-to-date we repurchased about 18% of our shares and a little over 100 -- $800 million in total spending, so far. Ed will get into some more details a little bit later on those items. As consumers feel a greater pinch, they look for more value and they find that in a loyalty program where they can earn real rewards. Congratulations Loyalty One team, tremendous quarter. As consumers feel a greater pinch, they look for more value and they find that in a loyalty program where they can earn real rewards. Congratulations Loyalty One team, tremendous quarter. The big question we get from investors is, what will the impact of the economy be on this business? We recently conducted a survey of 175 marketing executives that further validated the shift from traditional advertising to more direct marketing channels. In fact, 60% of the respondents said they had cut traditional budgets in favor for measurable marketing programs like ours. One example, Epsilon built and runs the loyalty platform to support Citibank's ThankYou Network. Earlier in the month the Executive Vice President of our Citi's Rewards Program said the program has reduced attrition by 50%, since the program was launched in 2004. Secondly, we also signed Beech-Nut Nutrition, a leading infant and toddler foods company, we will provide an integrated solution for managing their customer communication stream, and including development and execution of direct marketing programs, managing their e-newsletter program, as well as building sophisticated customer segmentation model to support the program. Wrapping up with Epsilon, we continue to ramp up new client commitment and have a very solid pipeline of companies in industries like healthcare, insurance, retail, computer services and financial services. This positions Epsilon nicely for the year. Nice work, guys. The programs will help them improve sale and customer loyalty for each brand as well as provide opportunity to cross shop all brands. We also signed a new commercial Private Label client, Southern Pipe and Supply. They are one of the nation's largest independent wholesalers of plumbing, heating and AC. They operate more than 90 locations across the Southeast. We are also building and maintaining a multi-tender, consumer marketing database as well as providing analytics, customer segmentation and modeling services to assist them in their marketing efforts. And lastly we will launch a new co-brand program for Ann Taylor. That will include exclusive points-based awards for their cardholders. Its certainly an understatement to say that the retail environment is extremely difficult, but by providing vital customer insight and innovative solutions to our private label programs, we help our clients increase loyalty, and drive sales. We are also building and maintaining a multi-tender, consumer marketing database as well as providing analytics, customer segmentation and modeling services to assist them in their marketing efforts. And lastly we will launch a new co-brand program for Ann Taylor. That will include exclusive points-based awards for their cardholders. Its certainly an understatement to say that the retail environment is extremely difficult, but by providing vital customer insight and innovative solutions to our private label programs, we help our clients increase loyalty, and drive sales. Don't get me wrong. We know we are in a storm, but already we believe the credit markets and hence liquidity are already beginning the healing process. So the process has started and we will soon be left to focus on a business cycle, to be [procession]. The irrational behavior of a few has hurt us all and the emotionally driven overreactions making it worse than it needs to be. But it will pass. And in the meantime, opportunities to enhance our business are all around us and we are well-positioned. We have solid recurring revenues. Strong free cash flow, strong balance sheet and excess liquidity. So to take advantage of our position, we will stay focused on our priorities. We cannot afford to get stuck in the rut of whining about irrational markets. Its time to step on the gas, keep the engines humming and we will come out of this recession. And we shouldn't have missed a beat. Earnings growth should be strong during the tough times, but perhaps more importantly, we plan on using our strong position to come out even stronger than before by taking advantage of either abnormally low priced, good asset and/or mispricing in the market of our equity. With that said I want to thank the entire team for another great quarter and job well done. Ed, will you dive into the details, please?
Ed Heffernan: Sure. Thanks, Mike. If you'll turn to the slide titled third quarter consolidated results. Let's get right at it. As Mike mentioned, this is our 30th quarter since our IPO and the 30th quarter in a row of delivering or over-delivering on our promises. Needless to say, but of course I will say it anyway, these are certainly interesting times from both a credit and liquidity perspective, as well as from an overall macroeconomic perspective. Our goals here today are to first, review Q3, second to provide our view of Q4 and then finally, we will absolutely provide an outlook for 2009. While we face some difficulties this year from the loss of the Lane Bryant business, and the higher credit losses associated with a recessionary environment, these challenges have been more than offset with a tremendous performances at Loyalty Canada and Epsilon, as well as some opportunistic moves in the liquidity and capital markets front. All right, if we were to bubble it down I would say there's probably three key takeaways from the quarter. The first, what we've been saying all year, the earnings acceleration continues. Q1 earnings were flat to prior year. Q2 posted a 14% increase. Q3 came in at 15% growth and Q4 will run north of that. Second, mixed shift. The percentage of cash flow contributed by each business continues to shift rapidly. Specifically for the first time in our history, Loyalty and Epsilon combined contributed more to operating cash flow than the combination of private-label services and private-label credit. And perhaps of greater interest is the credit segment itself, which is now only about one-third of operating EBITDA versus close to half just three years ago. Also note that all of our growth is coming from Loyalty and Epsilon. This will continue to shift away from private-label and towards the more recessionary resistant and faster growing Loyalty and Epsilon businesses. And finally, number three, capital markets. We have had great success in our three areas of focus this year. First our $1.8 billion buyback program, is highly accretive and continues to move ahead on schedule with 18% of our shares repurchased for $870 million through the end of Q3. Second, we recently completed $2.2 billion in new liquidity facilities including as Mike mentioned the $800 million converts and $1.4 new facilities for our private-label business. The buyback plus new liquidity facilities have enabled us to hit our third goal of driving shareholder value while maintaining low leverage and ample excess liquidity reserves. All right, I think that's the big picture. Let's turn to the next slide and dive into the weeds a bit. Segment results, first up, Loyalty Services, which posted a record third quarter with organic growth rates of 25% and 38% for revenues and adjusted EBITDA respectively. FX rates were virtually flat year-over-year. And, third, we continue to receive expanded commitments from our longtime clients as our transaction-based coalition model continues to garner larger and larger share of our clients' marketing and loyalty spend. And, third, we continue to receive expanded commitments from our longtime clients as our transaction-based coalition model continues to garner larger and larger share of our clients' marketing and loyalty spend. And, third, we continue to receive expanded commitments from our longtime clients as our transaction-based coalition model continues to garner larger and larger share of our clients' marketing and loyalty spend. So on a constant currency basis Loyalty should drive into 2009 at an extremely strong pace. We do not know of any major clients at risk, pricing is strong, sponsors are being added and the network affect continues unabated. 2009 looks strong. So on a constant currency basis Loyalty should drive into 2009 at an extremely strong pace. We do not know of any major clients at risk, pricing is strong, sponsors are being added and the network affect continues unabated. 2009 looks strong. Potentially, Epsilon averaged adjusted EBITDA in the low to mid $20 million range for Q1 and Q2 and then jumped to $40 million Q3 driving sequential margins up almost 800 basis points. This surge occurs every year, and is driven by our clients' desire to start seeing results of all of the previous months of data record collections and analysis. Potentially, Epsilon averaged adjusted EBITDA in the low to mid $20 million range for Q1 and Q2 and then jumped to $40 million Q3 driving sequential margins up almost 800 basis points. This surge occurs every year, and is driven by our clients' desire to start seeing results of all of the previous months of data record collections and analysis. Epsilon's new client signings this year have been strong and larger commitments from existing clients continue on pace. The pipeline remains robust and as such we feel confident that Epsilon will continue to move spending away from traditional channels and into its unique transaction based micro targeting model despite the macro environment. All right. We have now finished Loyalty and Epsilon, which now officially account for the majority of our cash flow, our revenues and this year essentially all of our growth. Turning to Private Label Services, which provides processing, high-end customer care and the marketing programs associated with the company's 95 private label card clients. Cost of these services are marked up and charged to the Credit segment, as part of its cost for providing its service. Services revenues generally track statements generated. For Q3 revenues were essentially flat as statements, excluding Lane Bryant, declined slightly. Adjusted EBITDA expanded over 20% due to the ramp-up in expenses during 2007, which were absorbed by the segment and not built out of an intercompany charge. The charges reset only once a year and as such about $5 million in expenses were eaten last year during the quarter. They were passed through this year. If you normalize last year, adjusted EBITDA would have been about flat to this year. This line will [anniversary] after Q4, so as you look to 2009 it gets a lot easier. The segment should be apples-to-apples and as such revenue and adjusted EBITDA growth will be the results solely of growing a Private Label business. And specifically we expect mid to high single-digit growth and statements generated, which would be consistent with our expected double-digit growth rate in the credit portfolio, due to the record 2008 new client wins. Essentially statements tend to lag two to three points behind the growth rate of the credit portfolio. Speaking of which, Private Label Credit, revenues declined 4% overall. They would have declined at a more moderate rate of 4% when Lane Bryant was excluded. Also funding saves this year were split between above and below adjusted EBITDA, while a 100% of credit losses hit adjusted EBITDA. Epsilon's new client signings this year have been strong and larger commitments from existing clients continue on pace. The pipeline remains robust and as such we feel confident that Epsilon will continue to move spending away from traditional channels and into its unique transaction based micro targeting model despite the macro environment. All right. We have now finished Loyalty and Epsilon, which now officially account for the majority of our cash flow, our revenues and this year essentially all of our growth. Turning to Private Label Services, which provides processing, high-end customer care and the marketing programs associated with the company's 95 private label card clients. Cost of these services are marked up and charged to the Credit segment, as part of its cost for providing its service. Services revenues generally track statements generated. For Q3 revenues were essentially flat as statements, excluding Lane Bryant, declined slightly. Adjusted EBITDA expanded over 20% due to the ramp-up in expenses during 2007, which were absorbed by the segment and not built out of an intercompany charge. The charges reset only once a year and as such about $5 million in expenses were eaten last year during the quarter. They were passed through this year. If you normalize last year, adjusted EBITDA would have been about flat to this year. This line will [anniversary] after Q4, so as you look to 2009 it gets a lot easier. The segment should be apples-to-apples and as such revenue and adjusted EBITDA growth will be the results solely of growing a Private Label business. And specifically we expect mid to high single-digit growth and statements generated, which would be consistent with our expected double-digit growth rate in the credit portfolio, due to the record 2008 new client wins. Essentially statements tend to lag two to three points behind the growth rate of the credit portfolio. Speaking of which, Private Label Credit, revenues declined 4% overall. They would have declined at a more moderate rate of 4% when Lane Bryant was excluded. Also funding saves this year were split between above and below adjusted EBITDA, while a 100% of credit losses hit adjusted EBITDA. Epsilon's new client signings this year have been strong and larger commitments from existing clients continue on pace. The pipeline remains robust and as such we feel confident that Epsilon will continue to move spending away from traditional channels and into its unique transaction based micro targeting model despite the macro environment. All right. We have now finished Loyalty and Epsilon, which now officially account for the majority of our cash flow, our revenues and this year essentially all of our growth. Turning to Private Label Services, which provides processing, high-end customer care and the marketing programs associated with the company's 95 private label card clients. Cost of these services are marked up and charged to the Credit segment, as part of its cost for providing its service. Services revenues generally track statements generated. For Q3 revenues were essentially flat as statements, excluding Lane Bryant, declined slightly. Adjusted EBITDA expanded over 20% due to the ramp-up in expenses during 2007, which were absorbed by the segment and not built out of an intercompany charge. The charges reset only once a year and as such about $5 million in expenses were eaten last year during the quarter. They were passed through this year. If you normalize last year, adjusted EBITDA would have been about flat to this year. This line will [anniversary] after Q4, so as you look to 2009 it gets a lot easier. The segment should be apples-to-apples and as such revenue and adjusted EBITDA growth will be the results solely of growing a Private Label business. And specifically we expect mid to high single-digit growth and statements generated, which would be consistent with our expected double-digit growth rate in the credit portfolio, due to the record 2008 new client wins. Essentially statements tend to lag two to three points behind the growth rate of the credit portfolio. Speaking of which, Private Label Credit, revenues declined 4% overall. They would have declined at a more moderate rate of 4% when Lane Bryant was excluded. Also funding saves this year were split between above and below adjusted EBITDA, while a 100% of credit losses hit adjusted EBITDA. Due to the slow but steady creep up in loss rates, expect Q4's loss rate to be in the sevens, thus bringing the year-end around mid sixes as expected. And the bizarre credit markets which are forcing rates higher, we believe that cutting the drag in half will be about the best we can do at the moment. For our guidance, we have assumed some continued turmoil in the funding markets, which will cost us, as well as the continuation of the steady creep-up in credit losses. And net of all of this is that the strong portfolio growth achieved will most likely be mitigated by higher funding costs and losses. For our guidance, we have assumed some continued turmoil in the funding markets, which will cost us, as well as the continuation of the steady creep-up in credit losses. And net of all of this is that the strong portfolio growth achieved will most likely be mitigated by higher funding costs and losses. Specifically the Canadian dollar was around $0.98 at the end of Q2 and into Q3 down around $0.04 at $0.94. So, on a constant currency basis deferred revs actually would have been up a bit and the trust cash would have been about flat. Specifically the Canadian dollar was around $0.98 at the end of Q2 and into Q3 down around $0.04 at $0.94. So, on a constant currency basis deferred revs actually would have been up a bit and the trust cash would have been about flat. Specifically the Canadian dollar was around $0.98 at the end of Q2 and into Q3 down around $0.04 at $0.94. So, on a constant currency basis deferred revs actually would have been up a bit and the trust cash would have been about flat. Specifically the Canadian dollar was around $0.98 at the end of Q2 and into Q3 down around $0.04 at $0.94. So, on a constant currency basis deferred revs actually would have been up a bit and the trust cash would have been about flat. Specifically the Canadian dollar was around $0.98 at the end of Q2 and into Q3 down around $0.04 at $0.94. So, on a constant currency basis deferred revs actually would have been up a bit and the trust cash would have been about flat. Operating EBITDA or operating cash flow should do $700 million this year, while reported or adjusted EBITDA should come in around $660 million. Again both numbers reflect the impact of foreign exchange of about $8 million. The higher rates which we are calling liquidity insurance of about $8 million and the fact that the I/O reduction from a plus $18 million last year to about zero this year. I think the key thing here and it should noted and for those of us -- those of you who have known us for years, this is fairly typical behavior. That these liquidity I/O adjustments were taken due to the company's desire to nail down significant excess liquidity during tremendous turmoil, while also saving enough powder to provide confidence in our guidance. These were proactive decisions that we would do all day long as it strengthens near-term and long-term sustainability. So, no surprises. It was done on purpose. And thus we end with an increase in cash EPS to $4.40. Operating EBITDA or operating cash flow should do $700 million this year, while reported or adjusted EBITDA should come in around $660 million. Again both numbers reflect the impact of foreign exchange of about $8 million. The higher rates which we are calling liquidity insurance of about $8 million and the fact that the I/O reduction from a plus $18 million last year to about zero this year. I think the key thing here and it should noted and for those of us -- those of you who have known us for years, this is fairly typical behavior. That these liquidity I/O adjustments were taken due to the company's desire to nail down significant excess liquidity during tremendous turmoil, while also saving enough powder to provide confidence in our guidance. These were proactive decisions that we would do all day long as it strengthens near-term and long-term sustainability. So, no surprises. It was done on purpose. And thus we end with an increase in cash EPS to $4.40. So you are going to have some good solid portfolio growth in 2009. And corporate overhead will keep flat and that gets you to about $2.3 billion on the top and about $770 million on the EBITDA side. Now we need to talk about what adjustments to make. That will still bring us in around 6.5% for the year and then we would expect to see things sort of go back to low seven's, and then creep up throughout the year and average about 7.5% for the year. And this assumes that there is going to be a fairly significant recession. So 100 basis points for us is $44 million in EBITDA and so if you took FX, if you took the funding and liquidity insurance, if you took the credit losses, we are going to ding the base case by 150 top and 90 on the EBITDA side and we'll come in at about $2.15 billion of topline and about $680 million EBITDA. We talked about adjusted EBITDA -- and then the nice thing is, even though we are going to have those headwinds as we race through next year, because of the rather minimal CapEx that we have these days after we've built out everything and the tremendous amount of free cash flow which will be a tad under $500 million of pure free cash -- on top of that we have secured some good funding facilities. And the accretion from the buyback all lends itself to a huge amount of leverage in terms of growth rates on earnings per share. And as a result, we do not think we will miss a beat on the earnings per share and specifically we think we can do somewhere between $515 million and $520 million or 17% to 18% growth. And those are numbers that we are comfortable laying out now. And I think that's something that in this environment, I don't know if a lot of people will buy into it right away or will need another quarter to get comfortable but we are kind of used to that. So we are going to put it out there and put our heads down and as Mike said we will execute on it. We talked about adjusted EBITDA -- and then the nice thing is, even though we are going to have those headwinds as we race through next year, because of the rather minimal CapEx that we have these days after we've built out everything and the tremendous amount of free cash flow which will be a tad under $500 million of pure free cash -- on top of that we have secured some good funding facilities. And the accretion from the buyback all lends itself to a huge amount of leverage in terms of growth rates on earnings per share. And as a result, we do not think we will miss a beat on the earnings per share and specifically we think we can do somewhere between $515 million and $520 million or 17% to 18% growth. And those are numbers that we are comfortable laying out now. And I think that's something that in this environment, I don't know if a lot of people will buy into it right away or will need another quarter to get comfortable but we are kind of used to that. So we are going to put it out there and put our heads down and as Mike said we will execute on it. We talked about adjusted EBITDA -- and then the nice thing is, even though we are going to have those headwinds as we race through next year, because of the rather minimal CapEx that we have these days after we've built out everything and the tremendous amount of free cash flow which will be a tad under $500 million of pure free cash -- on top of that we have secured some good funding facilities. And the accretion from the buyback all lends itself to a huge amount of leverage in terms of growth rates on earnings per share. And as a result, we do not think we will miss a beat on the earnings per share and specifically we think we can do somewhere between $515 million and $520 million or 17% to 18% growth. And those are numbers that we are comfortable laying out now. And I think that's something that in this environment, I don't know if a lot of people will buy into it right away or will need another quarter to get comfortable but we are kind of used to that. So we are going to put it out there and put our heads down and as Mike said we will execute on it.
Mike Parks: So with that said we would like to take questions from the field, operator if you'll open up the line. Operator are you there.
Operator:
James Kissane - Banc of America Securities: Hi Mike and Ed, Jim Kissane.
Mike Parks: How is you.
Ed Heffernan: Hi Jim.
James Kissane - Banc of America Securities:
Mike Parks:
James Kissane - Banc of America Securities:
Ed Heffernan:
James Kissane - Banc of America Securities: Yes, we love it.
Ed Heffernan:
James Kissane - Banc of America Securities:
Ed Heffernan:
James Kissane - Banc of America Securities:
Mike Parks:
James Kissane - Banc of America Securities:
Mike Parks:
Ed Heffernan:
James Kissane - Banc of America Securities: Thanks. Right. Thank you. Good job.
Mike Parks: Thanks, Jim.
Operator: Your next question is from Andrew Jeffery with Sun Trust.
Andrew Jeffery - Sun Trust Robinson Humphrey: Hi, guys. Good afternoon.
Mike Parks: Hi.
Ed Heffernan: How are you?
Andrew Jeffery - Sun Trust Robinson Humphrey: You made some comments, pointed comments actually about the Epsilon business and its exposure to the cycle. It looks like you are kind of running mid-single digit revenue growth today, talking about that may be being a little bit better. Next year -- can you just give a little more color on how much of those programs within Epsilon are discretionary versus how much is loyalty, which I think would be more visible and just exactly how you get some comfort that this is in a business that if things get worse in the economy, doesn't ultimately become exposed to a pull-down in marketing budgets broadly, despite the secular shift you've talked about.
Mike Parks: If things -- if we are in the great depression, I'll bet through, but assuming we are in a deep recession, I think we are going to be in pretty decent shape and, I can recall a quarter ago, sitting and listening not just on this call, but it's too, and all the investor conference is about, 'hey, I am hearing all the retailers are cutting, there is no way Epsilon is going to be able to do that huge surge between Q2 and Q3 and so we decided to keep well, at least shocking for me relatively silent about it, but in fact we did come in with a surge from the $20 million to $40 million despite the fact that we had confirmed retailers have cut back about 20%, on their marketing budgets.
Ed Heffernan:
Andrew Jeffery - Sun Trust Robinson Humphrey:
Ed Heffernan: And it does go down, but we feel as confident and more confident than most.
Andrew Jeffery - Sun Trust Robinson Humphrey: And does the improvement in the operating margin and the EBITDA margin in that business -- is that reflective of just inherent scale or you -- do you have some thoughts on cost structure there too?
Ed Heffernan: It's primarily, almost explicitly scaled per share.
Andrew Jeffery - Sun Trust Robinson Humphrey: Okay. And in loyalty can you talk a little bit about pricing and whether you've been able to take prices in this environment, is that another factor that we should be thinking about in 2009?
Mike Parks: On the pricing side, I wouldn't give a lot of thought. I think when we have good shape with couple of folks renewed. We don't expect anyone to leave us, pricing, I think will be firm-to-firm plus and that's most probably, yes, we go. It's going to be steady as you go.
Andrew Jeffery - Sun Trust Robinson Humphrey: Okay, thanks guys.
Mike Parks: Thanks, Andrew.
Operator: Your next question comes from the line of Wayne Johnson with Raymond James.
Wayne Johnson - Raymond James: Good afternoon.
Mike Parks: Hi, Wayne.
Wayne Johnson - Raymond James: Hi. The Loyalty Canada has been -- performance has been stellar, particularly last few quarters. Could you describe their competitive environment in Canada for your services and can you also describe, you know the pricing environment up there, what allows you guys to have so much pricing leverage in that particular region for that service?
Mike Parks: Okay. I will take a shot. First, we have a pretty unique model, so in the sense of the competitive environment, potential new customers or even our existing ones have to decide whether they want to try and do a one-to-one kind of loyalty program, move to television advertising, web-based, all of those kinds of things. Those are typically the review processes that customers go through, unlike potentially other businesses where there are more direct competitors. Their focus is looking at our ability to drive incremental sales and significant profits around that and as long as we're proving those results that's what they are worried about. They are not worried about whether the mile is an extra penny or not, if we can drive extra sales at incremental margins of 40% and 50% and much like we talk about in our private label business that really doesn't come much into play. With that long-term contracts, with embedded inflation numbers in it and so we are pretty confident in the value proposition if we have their way and really don't see any deterioration from clients suggesting that they want to move their marketing dollars to some other vehicle.
Wayne Johnson - Raymond James: Right. Can you talk about the penetration in Canada and how much more or market opportunity -- how more runway do you guys feel you have in that particular region?
Ed Heffernan: I think we've talked all this year that we think we penetrated about 50% of the available segment. Some people get hung up on (G) we have 70% of the Canadian households and therefore there is no more growth. If you look at it this past quarter, we actually increased new collectors by 4%, active collector by over 2, just on the base, that doesn't even speak to the real growth drivers, which we talked about in opening about the network effect as they come on Board, they start at two, three and four and continue to go through to other locations. And then as we add on, which is in effect that the next major driver of growth. We continue to expand relationships with our existing sponsors as they roll-out either geographically or through other products and then we, lastly, we bring on new sponsors like Hilton. So we think we've got a strong runway for the future.
Wayne Johnson - Raymond James: And that's terrific and just a quick follow up, and so how would you describe the difference between Alliance Data and Aeroplan?
Ed Heffernan: I would describe ours as an everyday spend-centric model driven at 80% of the consumers that go to their everyday spend categories versus the frequent flyer programs.
Mike Parks: And also, the easiest thing is where the revenues come from, I don't know the exact numbers, but when Aeroplan, that all comes from either Canada or the CIBC credit card, which is typical of the business, we can fly our program when in fact all our money comes from someone buying gas and grocery, the pharmacy, and home improvement, financial services, liquor store, and whatever it may be. So we're pretty much where do the family goes during the week, and Aeroplan is pretty much for the business traveler.
Wayne Johnson - Raymond James: Terrific, thank you.
Mike Parks: Thanks, Wayne. Next?
Operator: Your next question is from Dan Perlin with Wachovia.
Dan Perlin - Wachovia: A quick question on the latter part of the press release. You guys talk about your revenues and EBITDA could be impacted by the classification of your cost of funds, depending upon the funding source utilized?
Ed Heffernan: Yeah.
Dan Perlin - Wachovia: My question is Ed, you've talked about $25 million of incremental funding cost and that being 60 basis points, what is the kind of the spectrum that we need to be thinking about for your funding cost? I mean, are there some that are going to potentially push you 120 basis points higher, and others that are 20 basis points higher?
Ed Heffernan: Yeah actually it's a good question. The press release wasn't talking about that. I think the 25 mill is probably a good all-in number and because if you recall it would have been 25 mill to the extent we utilized the full billion 4 facility, when in fact right now we're only utilizing 700. So it kind of makes room for either using up that entire facility or renewing a couple of more deals early in the year at higher pricing. I think that's all captured in the 25, I think that's a good number. What we were referring to in the press release is because some folks focus on EBITDA, some focus just on earnings. As you know, when you securitize something, it means that the cost of financing that collateral is netted in revenue, and hence close right to EBITDA, therefore depressing EBITDA. However, if you choose to let's say keep it on balance sheet, because the CD market is just a fabulous market right now vis-à-vis the public ABS markets that funding cost will not show up above EBITDA, but in fact will be below EBITDA and your EBITDA will be higher. It doesn't change your overall cash flow of the company. It's the geography question and that's what we're saying is depending on how much we securitize versus hold on balance sheet, will tend to drive EBITDA either up or down, but will not change cash flow nor will it change cash earnings.
Dan Perlin - Wachovia: Got it, okay. That's very helpful. The other thing I've been noticing is your recovery rates in your portfolio in your most recent Trust data still are very strong, and I am just wondering is there anything you guys are doing today that's unique, different, more aggressive in terms of trying to get people to pay on time or are you selling some of these receivables at all.
Ed Heffernan: Yeah, it's another good question. You know you have to remember that we do a lot of this stuff in house, whereas most of the big general purpose bank card players tend to outsource that and when you outsource that essentially you pay a big fee, and therefore your recovery rates are coming in tend to be quite a bit lower. From the income statement, you're looking at a little bit more of a geography question, because of how the big banks do it the way we do it is that the, let's say we recover $0.30 of every dollar that's written off, that's the direct recovery. The cost for doing so is not a fee to an outside agency. It's actually buried in our operating cost. Whereas with the bank card, it's all buried in lower recoveries, because they are netting out the fee to the outside recovery agency. Does that make sense.
Dan Perlin - Wachovia: Yeah, you are right. Okay.
Ed Heffernan: Yeah. And so, we've always tended to see because we are doing it in-house really good recovery rates. They're dipping a little bit, as you might expect going into recession if. I think what you will hear from other folks is, if I were to be a betting person, I would say our delinquencies would probably not be going up of full 100 basis points next year, but I would certainly say our losses would probably go up a 100 basis points. The difference being that we'll probably not going to recover quite as much as we did during good times and that essentially means that this is all fairly logical and intuitive, but once someone gets a 120 days passed through in this environment, they're going to roll the write-off.
Dan Perlin - Wachovia: Right, and if I heard you correctly, you said your gross portfolio yields are getting back to more normalized trends, is that what you were trying to imply? In other words, the late fees are typically accruing, when things get a little sloppy in the economy. You portfolio yield tend to benefit from that and I would think kind of based on the commentary you just outline for'09, that should, your growth yield should be up pretty good.
Ed Heffernan: Yeah. I wouldn't go quite that far, but no, we didn't imply, we actually said that if you recall the first half of this year, our yields versus prior year actually down a little bit?
Dan Perlin - Wachovia: Yeah.
Ed Heffernan: And part of that was, it seem like our late fee income had actually dropped off a bit. Some of it, obviously going to write-offs, because it was un-collectible and some of it, we believe people were being more careful about making sure their bills are paid on time. What we saw on third quarter, basically was the reversion back to essentially what we see in the last 10 years that I have been here, which is yield's very consistent with where they were last year, which gives us a fair amount of comfort going into 2009 that those yields are going to hold.
Dan Perlin - Wachovia: We get this question a lot, so may be you can just clarify. You don't have any restrictions on your buyback program today in terms of restrictive covenants around your convert or any other debt, correct?
Ed Heffernan: No.
Dan Perlin - Wachovia: Okay, stock comp was up quite a bit relative to what I was expecting it to be, is there, can you just explain what drove that? It was almost $70.2 million versus $8 million sequentially and $14.5 million last year, so anything materially driving that?
Ed Heffernan: I don't think so. We would expect to be on pieces this year, probably to do somewhere on the order of about $47 million of total comp, of which virtually all of it is restricted, stock and about $4 million of it is auction related, so the big chunk in Q3 and Q4 are the restricted stock pieces.
Dan Perlin - Wachovia: Okay. And then lastly, the corporate another revenue was up pretty meaningfully sequentially to almost $8 million, is there anything in that number?
Ed Heffernan: You bet. We did, we've sold a couple of divisions if you recall, and we have interim servicing agreements for the next day or so.
Dan Perlin - Wachovia: Got it, okay, excellent, thanks guys, great quarter.
Ed Heffernan: Thank you.
Operator: Your next question is from Reggie Smith with JP Morgan.
Reggie Smith - JP Morgan: Hey guys, nice quarter and guidance. I guess my first question, your share count as you exited the quarter, I don't know if you guys provided that, I want to know that? And then I guess wanted to know also, does your guidance for next year include any incremental share repurchases, or what your assumption around that.
Ed Heffernan: Yes, our share count in Q3 was 79. Is that your question?
Reggie Smith - JP Morgan: No, actually where it ended the quarter, so not the average rate, but where did you exit the quarter?
Mike Parks: $66.
Reggie Smith - JP Morgan: 66. And I guess your guidance for next year, I assume 66 or are you included any incremental repurchases in that?
Mike Parks: I put in a little incremental but probably not the whole thing.
Reggie Smith - JP Morgan: Okay. I am not sure if you guys gave it, but the third quarter managed charge of rate.
Ed Heffernan: We did not give it, but I'd be more than happy to. It was 7%. So, if you were to look at the year, you would see managed which for those of you who don't live and breathe stuff is the Master Trust I which is what we usually guide off of plus anything that's not a Master Trust I. In Q1 it was just right around 7%, Q2 it was 6, 7, which tend to be seasonally the lowest Q3 at 7% and in Q4 it will be mid 7's or higher.
Reggie Smith - JP Morgan: Okay.
Ed Heffernan: And we'll come in right on the year at 6.5 for the Master Trust and 7 overall which is pretty much consistent with the usual 50 basis points spread between the two.
Reggie Smith - JP Morgan: Okay. I guess the charge offs next year, you are talking about a 100 basis points increase over the average, as we kind of exit '09, are we thinking something with a high 7% range or do you kind of see it pop into 7.5 and kind of stay in there?
Ed Heffernan: Well, that's a great question. I mean, we are assuming things are going to be pretty bleak next year so hopefully we will be wrong and things would be going better. But I think that the best we can do right now is say look toss a 100 bps it's $44 million, and as we're nearing third quarter of next year whatever, if things are still lousy, we're going to be in the ball park quite frankly and we're going to be as the saying goes close enough, because the portfolio just isn't big enough and loses aren't large enough that it should toss us off our guidance. But right now Reggie best we can tell you is mid sevens sounds about right, and as you can tell from this year, Q1 and Q3 were almost identical. So, I don't know if it's really going to have the big creep up or it may just pop up and just sort of stay there, which is also another way of thinking about it. But right now we have no evidence to suggest if there is going to be another pop above that.
Reggie Smith - JP Morgan: Okay. And if I could speak two more quick ones then. You guys called out $25 million drag on some of your condo renewals. I was just wondering if you guys could talk about what the spread on some of the private stuff is done over the last two years, so that you can get an appreciation for, I guess the magnitude of what you guys are kind of facing in terms of base point. So may be two years ago it was 60 basis points over LIBOR, now it's 120, if you kind of size it force that way.
Ed Heffernan: Reggie if I can get 120 I'd do it today. No, it's a fair question. It's more a function of two things. One is the spread of LIBOR that is over the fed funds array. LIBOR is what we are using then to swap in to fixed rate, so to the extent LIBOR is high but obviously will hurt our long term fixed rate. and then of course you have the additional credit spread that is over and above the spread of LIBOR over Fed funds. Traditionally LIBOR tends to trade very close to Fed funds. Lets say a typical spread is 40 or 50 basis points over. When we did the $1.04 billion deal, LIBOR was essentially 300 basis points over and then the credit spread on top of that was another 250 basis points. So that's 550 basis points or 500 bps above what we would have paid two years ago. Now that 500 has already come down by a 100 as LIBOR has began to come in. Most of the forward curves would suggest LIBOR should be coming in another couple of 100 before summer time and hopefully with a $1 trillion or whatever slashing around the banks, our credit spreads will not be 250 over they will be more normalized 50 to a 100 over. Very long winded answer Reggie, but what was probably a premium of 500 basis points back when we did the liquidity deal has probably come in 100 and we would expect it to come all the way and normalize probably be up by around summer time.
Reggie Smith - JP Morgan: Got you, and then one last question. If I would have to tell you that a year from now the asset backed markets would be unchanged and the private conduit markets will be unchanged how much stock would you be willing to buy back now, assuming that you want to keep some liquidity to possibly fund receivables on balance sheet of '08 this type of drag. Did that I make sense?
Ed Heffernan: Yes. Obviously we're not going to answer the question but I'll answer a little bit. I think what you're going to find in and it's not just with us, I think we've got plenty of liquidity over the corporate level and were thrown off at (inaudible) free cash flow. So the ability to execute the buy back, I don't think is going to be something that's a huge issue for us. But down at the funding levels what I think you will find is, I don't think that the public markets will be closed a year from now. But I think it will be more of an issuer's choice, because of the rates and so what I think you'll probably see is you'll see many folks - ourselves included - turning increasingly to lower cost, much more stable funding sources, for right now which would be the CD market which is very deep, it's FDI-fee insured. We can do quite a bit of financing that way, we've never really used a ton of it because the [math] trust is so efficient. And then secondly the conduit market itself. We book, banks like I don't know, JPMorgan, and some of the foreign banks - Barclays, Royal Bank of Canada, Royal Bank of Scotland, folks like that are stepping up big in the conduit market, and now that they can sell they're funding it with commercial paper, asset-backed commercial paper, they can sell that to the government. Those two markets are in pretty good shape, and so I think you'll see rates and spreads coming in on the conduit market. CD market is great already. You can do CDs at 4%. So I think you are going to see more folks turn to that if spreads don't come in and are in the public market.
Reggie Smith - JP Morgan: Okay, sounds good. Thank you.
Ed Heffernan: Thanks, Rich.
Operator: Your next question is from the line of David Scharf with JMP Securities.
David Scharf - JMP Securities: Hi, good afternoon. I'll try to keep it brief here. Ed you know on the Air Miles business, just curious, you know the tag line has always been it's you know gas, groceries, very non-discretionary. You've signed up so many new sponsors over years and I know RONA for an example, it was a contributor to growth last couple of years. You got to believe that business is struggling. Is the mix of sponsors or the mix of miles that you would deem to be quoting non-discretionary consistent with where it was a couple of years ago.
Ed Heffernan: Yeah, I think looking over at the (inaudible) the basic thing is the only change that we've really seen is that there has been a big increase in bonusing. So like in the old days the supermarkets, the Safeways of the world would pay us X millions a year and now what they'll do is they'll team up packaged goods industry and Pepsico and Safeway will give a two for one miles sweepstake, or they will do other bonuses, motions. So I think the short answer to your question is , no, I don't think it's really changed the mix much. It's just that the way it's become more challenging quite frankly to tell you quarter-by-quarter what the issuance is going to be. We have a very good feel for a full year basis, but quarter-by-quarter it's (inaudible).
David Scharf - JMP Securities: Okay, got you. And on the private label, I guess the 10, soon to be 10 new programs this year, and let's throw-in last year's new programs as well, how many of those were just, and I should have this in front of you. How much of those were just sort of co-branded, offerings to supplement existing storecard programs. So just kind of curious just to get a sense of magnitude. The co-branding once you've launched so far, have those been material contributors or they are just sort of--.
Ed Heffernan: Actually the co-brands are pretty doing well, but they are never going to be the anchor of our offering. The private label is, let's say gets us to 30%, Wallet shares, co-brand can pick us up another 10-12%. That would be great. So we would probably not view co-brand as being materially more than at some point down the road, 10% for the [file]. But at the same time it may pick up, another 10 points to Wallet share within the client, because they are high quality folks, they just don't want to have another card in their wallet. So we get their outside spend as well, I think want comes to mind will be Ann Taylor, co-brand and New York & Co. co-brand were probably the two.
David Scharf - JMP Securities: Okay. And how did they yield, on that type of product compare to your
Ed Heffernan: They are a little bit less, profitable in terms of ROI, I am sorry ROA, give my own self mix up here. But ROA. But what you give up on ROA you make up in volume, you are going to have more credit sale, because it's used probably inside and outside the store and if you are going to have, or higher balance than our $350 balance. So overall the gross dollars are probably not so different from a private label program, it is just -- our focus will always still be the private label.
David Scharf - JMP Securities: Okay, and then the last question is just to, I guess, clarify that the prior one. Once again the $25 million drag on funding cost that's inherent in your guidance, you are outlining kind of where historical LIBOR spreads were and where do you expect them to come back to. Does the $25 million kind of reflect, what your funding cost look like when you actually got this facility done or is it actually kind of incorporate the assumption that we continue to see a return to normalcy in that 500 basis points to spread sort of nearest to 150 and so forth.
Ed Heffernan: Yes, we had. Very simply the 25 was assuming that we fully utilized the 1.4 billion facility we set up as opposed to the $700 million that we really needed it for. And that was the time where the LIBOR spreads peak, 300 bips or something like that. So very simply to the extent we've used that facility when it was at that peak level, it would have been $25 million or 60 basis points. So that was why we put that in the press release. Obviously, spreads have come in, we haven't used more than the 700, so that would suggest something less than that. But as we look into 2009, we say look, we've got some stuff coming due, clearly spreads are coming in, but it's still going to be incrementally a little bit higher than existed. So we used 25 as, I think, a decent proxy for, if not the 1.4 billion facility at the peak LIBOR spread, it's been a good proxy for what we think the incremental funding cost would be for us in 2009, factoring in a couple of renewals and assuming spreads have not completely come back to normal.
Ed Heffernan: Got you. Okay, thanks a lot guys.
Ed Heffernan: You bet.
Operator: Your next question is from Dan Levin with Robert W. Baird.
Dan Levin - Robert W. Baird: One quick one, because running over all along here. On the Epsilon business, one thing we've heard from some of the direct marketers out there, some of the retailers and catalog companies kind of push forward some of their typical 4Q spending on marketing programs in order to try and get an early start on Christmas and try and sell, which was probably going to be a pretty horrible season for those guys. Did you guys see any of that in the Epsilon business during the quarter?
Ed Heffernan: The third quarter is always historically -- if you look at when all the works done and whether they may let on the 1st of October versus the 15th of October or whatever doesn't really make that much difference on our revenue stream.
Dan Levin - Robert W. Baird: Okay. Great, thanks guys.
Ed Heffernan: You bet, thank you.
Operator: Your next question comes from the line Moshe Katri with Cowen and Company.
Mike Parks: Moshe, are you there.
Moshe Katri - Cowen and Company: Hey guys, great execution. Just really one question, assuming we -- obviously we are going to go through some pretty tough times during the past, next few quarters and also assuming that maybe we'll lose a couple of retail customers Lane Bryant, credit losses continue to creep higher. I guess that will place you in a sense of mode, are you set up for the scenario from an expense perspective, maybe you can kind of discompose, maybe categorize your expenses by personnel or maybe other items and which part of this question, I mean, obviously, all focus is on your ability to protect the bottom-line. Thanks.
Mike Parks: Well, I am going to hit the first one. The potential loss of another Wayne Bryant [ph], that's not going to happen. You look at our history that generally never happened. But in particular it won't happen now, because there aren't any banks that they would even do it. So I don't think you need to worry too much about losing a big client to a competitor. Obviously there is a lot of discretionary expense in call center, if something were to happen like that. But those are two keys points. Ed you are going to…
Ed Heffernan: I would say, we'll know if any large client is leaving, but let me take your question different way and say what happens if some clients go bankrupt?
Moshe Katri - Cowen and Company: Yes.
Ed Heffernan: And that's certainly possible. The last big one we had, I think, was Service Merchandise back in 2001, so it's been a while. But I think especially this year, especially in 2009, Moshe, all that would do is, it wouldn't cause us to have to take out some type of expense plan because the ramp up that we're looking at right now, which is just almost a $500 million AR increase in the file itself from the 10 new clients. So all that would basically do would be knock down that growth rate a little bit and we wouldn't be hiring as much, but it wouldn't be cut scenario.
Mike Parks: In particular, we -- just because they might go bankrupt you don't lose the majority of the driver of that revenue stream, which was a fees from the card holders. They will pay out over time as the balances will slowly get paid out. So there isn't a big drop or one big write-off so to speak.
Moshe Katri - Cowen and Company: Can you kind of elaborate a bit on your expense, is there any way to kind of decompose them by personnel, maybe other items and what in your view is discretionary, you can kind of bring it down if you need to?
Ed Heffernan: We would prefer to stay with that. Right now we are looking for solid growth in Canada, solid growth at Epsilon and solid growth in terms of the business metrics at private label and in order to handle that you are going to need your customer care, call center, back-end collections and everything else. So we don't view 2009 quite frankly as a year for cutting expenses, because we are going to be growing and the head winds we are facing are foreign exchange issues and maybe higher credit losses and a little bit of funding head wind. Those you don't fix by cutting folks, some of your growing. So I would stay away from thinking about we are going to do expense cuts or not?
Mike Parks:
Ed Heffernan: Yes, my guess…
Mike Parks: Great judge there against declining customers by continuing to ramp up new clients.
Ed Heffernan: I would say, no issues since -- again we are keeping folks onshore that we are going to be one of the few companies that's probably hiring during 2009.
Moshe Katri - Cowen and Company: Great guys thank you.
Mike Parks: Thanks a lot.
Operator: Your next question comes from the line of Bob Napoli with Piper Jaffray.
Bob Napoli - Piper Jaffray: Guys, nice job on the quarter. On the deposit side, I mean, your deposits are relatively small relative to your asset base and the credit card receivable base. Why haven't you grown that much more substantially, especially over the course of this year and is that -- can you grow that? I mean, it's a wholesale -- that type of CD funding, generally you can grow relatively quickly. Why isn't that a bigger focus?
Ed Heffernan: Oh, believe me it is become one very quickly. We typically, Bob, if you went back, because private label for us, the funding has been so fluid, and so liquid and so easy over the past 10 years. The banks have been knocking down my door to do conduits or to underwrite with public ABS deal and we had so much excess capacity that it never really crossed our mind to spend too much on the CDs. We normally save the CDs, quite frankly, for nothing more than our year end blip-up, which is a financial term meaning the seasonal upturn around the holiday season, and that's usually 200 or 300 million and that's typically what we run the CD program at. Is there any reason we can't ramp that up to a 1 billion, 1.5 billion, whatever -- whatever else we need? Absolutely not. It hasn't been an area of focus, but it is a source as you know for well, FDIC ensured very stable, very inexpensive relative to other sources of funds as a source for us. So you can count on seeing that number go up pretty significantly through 2009. You're dead on.
Bob Napoli - Piper Jaffray: Okay. Now do you think you qualify for any of the government funding programs? I mean, American Express, I think, believe they can get 9 billion of funding through some of the government guaranteed programs as a bank and is there...
Ed Heffernan: I don't think so. We've just started looking where we haven't spent much time, right.
Bob Napoli - Piper Jaffrey: Okay.
Ed Heffernan: Right now we are feeling pretty comfortable with what gets the CD program going and let's get -- everyone lined up for maybe some more access still in the conduit market and if sometime in the spring or early summer the public markets open up, I think a lot will be dependent upon not just LIBOR coming down, but having some type of final resolution on this mark-to-market accounting. So that the folks buying, the securities can get a little more comfort that would be very helpful if we, the sooner the better on that one. So, you know I just like I said, we are not Amex. We don't have 24 billion that needs to be financed. So I think a nice CD program might do it for us and that will be about it, and we will certainly look and if there is some freebie out there or whatever, we will certainly take a look at it. But right now we're not counting on it, no.
Bob Napoli - Piper Jaffrey: You signed ten new clients in private label this year, nine, ten new clients for adding 500 million receivables next year. Is that pretty much the most you feel comfortable with? Is there a pipeline? I mean can you repeat that next year, would you or is that too much growth?
Mike Parks: That's on the high. Again, don't want to predict much like I mentioned earlier but from an operational boarding perspective, that's something that we feel comfortable with.
Ed Heffernan: Yeah. I think the challenge doesn't come in Bob from signing new clients for say, if there're clients where we were starting a program from the scratch, and ramping up over three year period. It's more when you're talking about, if you are taking on $50 or $100 or $150 million file that comes along with it, you have a conversion that needs to take place, and we probably don't want to do more than four conversions a year.
Bob Napoli - Piper Jaffrey: Okay. And last question, just on, I mean, your buying back stock, but in this environment it's possible that their could be some opportunities on the deal side. I know you haven't focused on that but there may be some extremely attractive opportunities from stress sellers, is there any interest in that from your perspective, or is it just any, the total focus on share buybacks over the next, through 2009.
Ed Heffernan: We are certainly watching.
Bob Napoli - Piper Jaffrey: And what area would you be interested.
Ed Heffernan: It would be either for Canada or for Epsilon.
Bob Napoli - Piper Jaffrey: Okay, thank you.
Mike Parks: You bet.
Operator: Your next question comes from the line of Colin Gillis with Canaccord.
Colin Gillis - Canaccord: Hey guys.
Mike Parks: Hey Colin.
Ed Heffernan: Hey Colin.
Colin Gillis - Canaccord: Is it going to be possible for you to bump in the individual file from some of the larger portfolios, how about your competitors?
Mike Parks: Yeah.
Colin Gillis - Canaccord: Right, okay, good. Are there any step-downs left in 2009?
Mike Parks: Yes.
Colin Gillis - Canaccord: And then just what exactly is driving your expectations through lifts and charge-offs in November and December.
Ed Heffernan: It is all based on delinquency flows and what we have been saying in the later stage delinquencies, which suggest that, Q3 was probably a little bit below what we had anticipated. And I think Q4 is going to be a little bit higher than anticipated. I think when you average them out, you know, they're about right where we want them to be. I mean there'll be jerk around quarter-to-quarter and Q1 last year was the same as Q3 this year and Q4 is going to be a little bit higher, does that mean it will come back down in Q1, it's too early to say right now, but we're going to come in the year right at 6.5 on the Master Trust.
Colin Gillis - Canaccord: Got it, and just on that lift and charge offs, is that more likely to happen despite more likely to happen to the on balance sheet portion that we might not see in the Master Trust data, I just want to be clear on that?
Ed Heffernan: No, not at all. We really haven't seen the spread widen between total owned, or totaled managed and Master Trust. It's been 40, 50 basis points for quite some time.
Colin Gillis - Canaccord: Okay, so that spread should be consistent throughout the year.
Ed Heffernan: Yes. I wouldn't even really call the spread. I think, Q3 was probably little bit better than we thought, Q4 it'll be a little bit worse than we thought, I don't think there is any rhyme or reasons to it. It's just, sometimes you get some batches of accounts that are hard to break in the later stages, and that sort of what we're looking at. And it's going to go up and down next year too. I mean people need to get ready for, you are going to see some quarters that are above mid sevens, and some that are below, and I think just like this year, I am pretty comfortable we'll come in almost dead on what we want.
Colin Gillis - Canaccord: When that's all out, the cash is still going to flow under the balance sheet
Mike Parks: You get that one right, cow boy,
Colin Gillis - Canaccord: Great quarter, thank you.
Ed Heffernan: Thanks Col.
Mike Parks: I think we have time for one more.
Operator: Your last question comes from the line of Robert Dodd with Morgan, Keegan.
Robert Dodd - Morgan, Keegan: Hi guys, two very quick ones. On the guidance you have given for Canada with 18% and 20%, is that based on, that's local currency growth I assume that.
Mike Parks: Correct,
Robert Dodd - Morgan, Keegan: And then, the last one, treatment of the, you are going to run an effective volume cost to gap line and add back a cash
Mike Parks: Correct,
Robert Dodd - Morgan, Keegan: Got it, thank you.
Mike Parks: Thank you much. All right, we are ramping up, it was hour forty, its such a short one that I have another 20 minutes of charter time, well maybe not. Thanks everybody. We will talk to you at the end of the year. Bye now.
Operator: This concludes today's teleconference. You may now disconnect.